Operator: Good afternoon, and welcome to WEC Energy Group's Conference Call for First Quarter 2019 results. This call is being recorded for rebroadcast, and all participants are in a listen-only mode at this time. Before the conference call begins, I remind you that all statements in the presentation, other than historical facts, are forward-looking statements that involve risks and uncertainties that are subject to change at any time. Such statements are based on management's expectations at the time they are made. In addition to the assumptions and other factors referred to in connection with the statements, factors described in WEC Energy Group's latest Form 10-K and subsequent reports filed with the Securities and Exchange Commission could cause actual results to differ materially from those contemplated. During the discussions, referenced earnings per share will be based on diluted earnings per share, unless otherwise noted. After the presentation, the conference will be open to analysts for questions and answers. In conjunction with this call, a package of detailed financial information is posted at wecenergygroup.com. A replay will be available approximately two hours after the conclusion of this call. And now it is my pleasure to introduce Gale Klappa, Executive Chairman of WEC Energy Group.
Gale Klappa: Good afternoon, everyone. Thank you for joining us today as we review our results for the opening quarter of 2019. First, as always, I'd like to introduce the members of our Management Team who are here with me today. We have Kevin Fletcher, President and CEO of WEC Energy Group, Scott Lauber, our Chief Financial Officer, Bill Guc, our Controller, Peggy Kelsey, Executive Vice President and General Counsel and Beth Straka, Senior Vice President, Corporate Communications and Investor Relations. Scott will discuss our financial results in detail a bit later in the call, as you saw from our news release this morning, we reported first quarter 2019 earnings of $1.33 a share. Our performance was driven by colder than normal weather, the strong economy and a continuing focus on operating efficiency across our system of companies. I might add that our people and our technology performed exceptionally well during the polar vortex cold snap that grip the region during January. As wind chills in late January dropped to near 50 degrees below zero. Customer demand for natural gas hit new all-time records across our service areas in Wisconsin, Michigan and Minnesota. Our gas distribution networks were truly put to the test. And when it counted most we delivered. We've also made real progress on a number of other important initiatives during the quarter, we completed our new natural gas-fired power plants in Michigan's Upper Peninsula on-time and on-budget. With the new units online, we were able to retire our older, less efficient coal-fired plant at Presque Isle. And here in Wisconsin, we received approval from the Wisconsin Public Service Commission for two major solar farms. These facilities will be among the largest solar installations in the Midwest and will support our effort to reduce greenhouse gas emissions while maintaining reliable and cost effective infrastructure. You can learn more about our generation reshaping plan in the climate report that we just published just this last week. In addition, our regulatory calendar is on track with rate filings in Wisconsin during the quarter. Kevin will provide you with an update on that front in just a moment. And as I mentioned earlier, we're benefiting from a thriving economy here in Wisconsin, the state's unemployment rate came in at 3% or less during each month of this year's first quarter. And new proposed investments are promising additional development and jobs. For example Global Healthcare from Fresenius Kabi recently announced that it will build a flagship facility for its U.S. distribution operations in the southeastern corner of our state. Closer to Milwaukee Foxconn plans to restart construction as planned after the winter break on Phase I of its high-tech, manufacturing and research campus in Racine County. Foxconn announced during the quarter, the centerpiece of Phase I will be a Gen 6 fabrication plant. That Gen 6 plant will produce liquid crystal display panels in various sizes up to perhaps 90 hedges. Production is expected to begin by the end of 2020. And in the matter of weeks, the Company plans to issue initial bid packages for about Gen 6 facility and for construction of the new data center as well as research and development labs. We’re already seeing the positive ripple effect of Foxconn's commitment to Wisconsin. More than 30 additional investment projects have been announced in the vicinity of the Foxconn campus. Including hotels, medical centers and more than 2,700 housing units. These 30-plus projects should result in more than $900 million of new private capital investment. Now I'll turn the call over to Kevin for details on our operations and our regulatory calendar for 2019. Kevin, all yours.
Kevin Fletcher: Thank you, Gale. I'd like to start by highlighting the work our employees are doing to provide excellent customer care and reliable service. Just last month, our WEC Energy Group companies placed in the top quartile in the American Customer Satisfaction Index for energy utilities. And as Gale mentioned, we're making progress across our Company is on key initiatives. I'll review where we stand in our four-state jurisdictions. Here in Wisconsin, we're now on track to add utility-scale solar generation to our portfolio of regulated assets. You'll recall that on May 31 of last year, our Wisconsin Public Service subsidiary, along with Madison Gas and Electric, filed a joint application with the Wisconsin Commission to purchase 300 megawatts of solar generation at two locations. Earlier this moth, Commission approved our proposal and we received a written order on April 18. The Badger Hollow Solar Farm will be located in the South Western part of state in Iowa County and will be developed and constructed by Invenergy. The Two Creek solar project is being developed and constructed by next era in Northeastern Wisconsin. Wisconsin Public Service will own a total of 200 megawatts, 100 megawatt at each site with an expected investment of approximately $260 million. We expect these projects to enter commercial service by the end of 2020. Now I'll touch on our rate filings. On March 28, we filed a proposal with the Wisconsin Public Service Commission to set customer rates for our Wisconsin utilities. The request comes after a four-year base rate freeze, a freeze that has resulted in lower customer bills while maintaining world-class reliability and shaping a cleaner energy future. First, I'll discuss the request we making to set. We introduce customer’s rates for electricity for 2020 and 2021. You can refer to the last two pages of the earnings packet for details on our natural gas and steam filings. Using savings from tax reform, we are targeting an increase in the typical monthly electric bill of approximately 2.9% in 2020 and an additional 2.9% in 2021. There are three primary cost drivers for our proposed we introduced electric increases. Number one, our transmission charges. Remember, the amounts collected in rates have been kept since 2010. Number two, revenue, the Commission assume that we introduced would receive from MISO starting in 2015 that was not received. And number three, increased cost associated with the agreement to purchase energy from the Point Beach Nuclear Plant. This agreement was approved by the Commission in 2007 when we sold Point Beach, and credited customers a total of $670 million over a three-year period. Now onto Wisconsin Public Service, the rate proposal includes our acquisition of approximately 60 megawatts of the Forward Wind Energy Center in 2018, as well as our investment in the two solar facilities. It also includes ongoing modernization of the electric system by upgrading and moving underground 2,000 miles of electric distribution lines. We've already seen higher reliability in Northern Wisconsin as a result of these upgrades. With the tax savings and other credits applied, the typical electric bill would increase by approximately 4.9% in 2020 and an additional 4.9% in 2021. Even with the increases Wisconsin Public Service average deals would remain well below the current state and national averages. To support our strong balance sheet, we are seeking a slightly higher equity component in these rate reviews consistent with Wisconsin Commission's prior decisions. We expect final orders by the end of the year with new rates effective in January of 2020. Turning to Michigan, Upper Michigan Energy Resources has begun commercial operations of this new gas power generation stations on March 31. We've invested approximately $255 million in these new facilities. After the investment will be covered by a 20-year agreement with Cliffs Natural Resources and the other half will be covered in retail rates. This generation solution is expected to save customers nearly $600 million over the next 30 years. Looking to Illinois, the Peoples Gas system modernization program is roughly a quarter complete. As we improve safety and reliability, we continue to focus on efficiency and excellent customer care. Earlier this month, a national customer study found Peoples Gas to be one of the energy companies that's easier to do business with in America. And finally, an update on Minnesota Energy Resources. As you may remember from our last call, the Minnesota attorney general requested a review of the return on equity that the Public Utilities Commission had approved in December. The Commission has chosen not to take up this request, so our Minnesota ROE stands at 9.7%. And with that, I'll turn it back to Gale.
Gale Klappa: Kevin, thank you very much. The Company continues to perform at a high level and as we look to the remainder of the year, we're on track to meet the upper end of our 2019 guidance. As a reminder, our guidance range is $3.48 a share to $3.52 a share and again we're guiding to the upper end. This translates to a growth rate between 6.1% and 7.3% of the midpoint of our original 2018 guidance. And finally a reminder about our dividend, as January meeting our Board of Directors raised the quarterly cash dividend of $0.59 a share. That's an increase of 6.8% over the previous rate. I hope this marks the 16th consecutive year that our shareholders will enjoy higher dividends. We continue to target a payout ratio of 65% to 70% of earnings. We're in the middle of that range right now. So I expect our dividend growth will continue to be in line with the growth in our earnings per share. And now with details on our first quarter results and our outlook for the remainder of the year, here is our trusty CFO, Scott Lauber. Scott?
Scott Lauber: Thank you, Gale. Our 2019, first quarter earnings of $1.33 per share increased $0.10 per share compared to the first quarter of 2018. Higher earnings were largely driven by the colder than normal winter weather. Additional capital investment and their continued emphasis on cost control also had favorable impact on earnings. Earnings packet placed on our website this morning includes a comparison of first quarter 2019 and 2018 results. I'll first focus on operating income by segment and then other income, interest expense and income taxes. Referring to Page 8 of the earnings packet, our consolidated operating income for the first quarter of 2019 was $542.8 million compared to operating income of $545.1 million in the first quarter of 2018, a decrease of $2.3 million. Adjusting for the impact of tax repairs and our adoption of the new lease accounting rules, operating income actually increased by $2.4 million. We have a breakout of these items for your reference on Page 8 of the earnings packet, neither of these items impacted our net income. Recall that as part of our Wisconsin settlement, we agreed to apply the benefits of tax repairs to offset the growth of certain regulatory asset balances, plan continues and our expectation remains at the transmission Escrow balance at Wisconsin Electric will be reduced to zero by the end of this year. In January, we adopted the new lease accounting standards, while it had no impact on our net income, it does affect our segment reporting. Two separate items affect year-over-year comparability. First, the presentation of our intercompany lease related to the power the future assets were impacted. The leases are fully eliminated in consolidation, however, the contracts are treated differently in 2019 across our business segments. The second item is a smaller purchase power agreement, which had an impact of approximately $1 million, reclassified between operating income and interest. We have adjusted of these items in a separate column on Page 8 of the earnings packet. By segment update we will focus on the remaining $2.4 million increase in operating income, which excludes the impact of tax repairs in the new lease accounting rules. Starting with the Wisconsin segment, the increase in operating income, net of these adjustments was $5.6 million. Higher sales volumes drove a $20.7 million increase in margins. This was partially offset by $11.6 million negative fuel impact and a $7.7 million increase in depreciation expense. In Illinois, operating income decreased $9.7 million driven by a $16 million increase in operations and maintenance expense. This is due to higher weather related work repair, benefit costs and timing between quarters. Margins increased $11 million as a result of our continued investment in the Peoples Gas system modernization program. Operating income in our other state segments, increased $5.3 million driven by an increase in margin due to colder weather. Turning now to our Energy Infrastructure segment. Operating income in this segment was down $300,000, as expected Bishop Hill and Upstream Wind Farms did not have a material impact to operating income. However, a significant portion of the earnings for these facilities come in the form of production tax credits and are recognized as an offset to income tax expense. These production tax credits at approximately $0.02 per share. The operating loss at our Corporate and Other segment improved by $1.5 million. Combining these changes and excluding the impact of tax repairs and then new lease rules, operating income increased $2.4 million. Earnings from our investment to the American Transmission Company totaled $36.1 million, an increase of $3.3 million as compared to the first quarter of 2018. Higher earnings were driven by continued capital investment. Other income net increased by $23.4 million, driven by higher AFUDC related to the new generation Michigan's Upper Peninsula and an increase in investment gains associated with our benefit plans. Note that these investment gains partially offset the benefit expense including in our operating segments. Excluding the impact of the new lease accounting, our net interest expense increased $16.8 million, primarily driven by our continued capital investment and slightly higher interest rates. Our consolidated income tax expense, net of tax repairs decreased $17.7 million. This was driven by wind production tax credits related to our recent acquisitions of the Bishop Hill and Upstream Wind generation facilities, in addition to various smaller tax items. We expect our effective income tax rate to be between 10.5% and 11.5% this year. Excluding the benefits of tax repairs, we expect our 2019 effective tax rate to be between 20% and 21%. At this time, we expect to be a partial taxpayer in 2020. Looking now at the cash flow statement on Page 6 of the earnings packet. Net cash provided by operating activities decreased $158 million. The decrease was driven by higher working capital levels due to colder weather and tax reform refunds to customers. In the first quarter of 2018, we had not yet begun refunding amongst the customers related to tax reform. Total capital expenditures and asset acquisitions were $627 million for the first quarter of 2019, a $187 million increase from 2018. This reflects our investment focus in our regulated utility and energy infrastructure business. Our adjusted debt-to-capital ratio was 53% at the end of the first quarter, a decrease from the 53.4% at the end of 2018. Our calculations continue to treat half of the WEC Energy Group, 2007 subordinate notes as common equity. We're using cash to satisfy any shares required for 401(k) plans options and other programs. Going forward, we do not expect to issue any additional shares. We made $186.2 million in common dividends during the first quarter of 2019, an increase of $12 million over the same period in 2018, which reflects the increase in the annualized dividend level that was effective in the first quarter. Turning now to sales. We continue to see customer growth across our system. At the end of the first quarter of 2019, our utilities were serving approximately 11,000 more electric and 22,000 more natural gas customers compared to a year-ago. Retail electric and natural gas sales volume are shown on a comparative basis on Page 10 of the earnings packet. Natural gas deliveries in Wisconsin increased 7% versus the first quarter of 2018. This excludes gas used for power generation. Net gas deliveries in Wisconsin grew by 2.6% on a weather normal basis. Overall our retail deliveries of electricity excluding the iron ore mine, were up 0.5% from the first quarter of 2018 and on a weather normal basis, retail deliveries were down 0.4%. Finally, a quick reminder on earnings guidance. We are reaffirming our earnings guidance of $3.48 to $3.52 per share with an expectation of reaching the top end of the range. This assumes normal rather for the remainder of the year. Now looking at the guidance for the second quarter. In the second quarter last year, we earned $0.73 per share, which included approximately $0.04 from weather, taking the weather into account, we expect our second quarter 2019 earnings to be in the range of $0.70 to $0.72 per share. This takes into account April weather and assumes normal weather for the rest of the quarter. With that, I'll turn things back to Gale.
Gale Klappa: Scott, thank you very much. Overall, we are on track and focused on delivering value for our customers and our stockholders. And just a brief side note, for those of you listening in from Boston, I just want to let you know, the Milwaukee Bucks are ready to rumble. So fear the beer folks. And operator, we're ready to open it up now for the question-and-answer portion of the call.
Operator: Thank you. Now, we will take your questions. [Operator Instructions] And your first question comes from Greg Gordon with Evercore ISI. Your line is open.
Gale Klappa: Rock and Roll, Greg, how are you today?
Gregory Gordon: I'll tell you tomorrow after the draft, okay, Gale. We need to…
Gale Klappa: All right.
Gregory Gordon: Just a few questions. And I can take this offline if Scott doesn't have this handy, but when you look at the investment gains and other income, net of the increased expense, overall do you know what the net contribution was off hand and if not, I'll take it offline?
Gale Klappa: Scott?
Scott Lauber: I think the investment gains was probably is the ballpark of about $15 million to $16 million, but remember those investment gains are really offset expenses that are up in the operating segments. So there kind of a – it's just really how we’re reporting the information that are required to reported by segments down there, but it's really offset to the operating above.
Kevin Fletcher: Yes, Greg, in the Scott's point you really have to look at the two different pieces together to really get a good picture…
Gregory Gordon: That's why I asked. Yes.
Kevin Fletcher: Okay, terrific. Thank you, Greg. What else was on your mind today?
Gregory Gordon: I guess the second thing on my mind was taking into account the tax repairs agreement and the way you're flowing that through, how much have you reduced the regulatory asset balance that's impacting and what's the trajectory expected to look like?
Kevin Fletcher: Well, considerably on the – and, Scott can fill us in as well. But the big one, the transmission escrow balance, which was over $200 million. We've more than cut that in half and we're expecting it to be zero. In terms of the remaining escrow balance by the end of 2019, it's a great story.
Gregory Gordon: And then once that's at zero, does the agreement sort of complete or what happens then?
Kevin Fletcher: Well, all of that will be decided in the rate case with new rates effective January 1 of 2020.
Gregory Gordon: Perfect. Great. That's a great answer. And then forgive me if – I don't know the answer because I haven't read it thoroughly, but looking in the rate case, what are some of the other key second level things that you're looking to try to achieve. Are there any significant incremental changes in your generation portfolio that you're asking for in terms of deployment of new capital or retirement of incremental existing coal plants, and what are some of the big drivers there underneath the surface?
Scott Lauber: Greg, I think Kevin covered the three big drivers in the Wisconsin Electric rate case in his prepared remarks. Couple of things that might be responsive to your question, first of all in the Wisconsin Public Service rate case, part of the driver for that rate case is really two renewable projects. One is the acquisition of a portion of the Forward Wind Energy Center that Kevin mentioned. And then the other would be included in our rate case would be the investment in the two new solar projects that we covered during the prepared remarks, the Two Creeks in the Badger Hollow Solar Projects. That's a pretty sizable investment, Kevin that would be a part of our rate ask at Wisconsin Public Service.
Kevin Fletcher: And the other one that I would add, Gale, which I mentioned is our SMRP project, the renewable project where we under grounding a couple of thousand miles of overhead distribution to underground, we'll be looking to put that into our rate base as well.
Scott Lauber: In addition, the low higher equity layer that we highlighted in there. That's about 1% and they've done it for other cases. And I'll just support our balance sheet better.
Gale Klappa: Right. So we are asking for an increase in the upper end. We have a range now as you know for the equity layer, but the commission has approved, we're looking for a bit of an increase in the equity layer itself. And again, as Scott said, this has been approved in prior cases here in the state. I hope that helps, Greg.
Gregory Gordon: It does. Thank you very much. Take care.
Gale Klappa: You're welcome.
Operator: Your next question comes from Shahriar Pourreza with Guggenheim Partners. Your line is open.
Gale Klappa: Hi, Shahriar, how are today?
Shahriar Pourreza: Hey, guys. Yes, it's not Friday yet.
Gale Klappa: Okay.
Shahriar Pourreza: So, Gale thanks for the sort of the updated around Foxconn. But maybe you could just touch a little bit about sort of the noise we are seeing in the headlines around the Governor and potentially looking to revise terms of the state contracts. I think you sort of highlights changes with the business plan hiring and this is obviously Gale, this is your baby – you're very close to the situation. How difficult would it be for the Governor to reopen the contract legislatively especially, but you've got a Republican-controlled legislature, is this just noise? How should we think about this?
Gale Klappa: Well, great question, Shahriar. I appreciate it. Three observations to directly answer your question. First of all, we have now for the first time in almost a decade and Wisconsin divided government. So one can expect, I think a fair amount of rhetoric, newspaper headlines, political discussions that we haven't been overly used to over the course of the last decade. I would characterize much of that as just the normal back and forth in a divided government – in a political climate of a divided government. And my suggestion to all of you would be kind of ignore the rhetoric and look precisely and what's happening on the ground. Interestingly enough, as I mentioned during our prepared remarks, Foxconn is moving forward. It is now clearly define what they want to accomplish over the next 18 months in Phase I of the projects. It's significant, including the addition of a major data center. And as you recall, there still standing by their longer-term projection of creating 13,000 jobs. But to put a finer point on it, we have been as you know very conservative in our projections. If I don't think Scott had any significant ramp up in demand from the Foxconn campus until the last year of our five-year plan and we only had a very small amount of ripple effect, if you will – of additional economic development and additional jobs and additional demand. What we're seeing so far already as far surpassed in terms of the ripple effect what we have planned in our projections for the fifth year. So my view is kind of steady as you goes a lot of political talk let's focus on really what's happening on the ground. I hope that helps, Shahriar.
Shahriar Pourreza: No, it doesn't. And then I appreciate you addressing that because I know it's been a topic a little bit with investors. So I appreciate that. And then just, I know Gale, you've highlighted shifting to infrastructure you've highlighted more than a dozen sort of wind opportunities that are under evaluation very similar to the South Dakota deal with Google. It's you've hit 40% of your spending of – would you bucket it for about $1 billion. Are you seeing sort of enough opportunities that could be incremental to plan or as we're modeling this, should we just think about this is being more front end loaded growth? And then just secondarily to that question is trustee Scott said you guys are going to be in a tax position by 2020. But if some of these projects sort of hit fruition, how should we think about your current cash tax position post these projects?
Gale Klappa: Well, Shahriar, we still have – great question. We still have a robust pipeline of projects that were doing a fair amount, as you can imagine of diligence on right now, it wouldn't surprise me in the least if you saw over the next four to six months another major announcement. So we still have plenty of opportunity here and as Scott mentioned in his prepared remarks. Right now, we did nothing else. We would be a partial cash taxpayer in 2020. Another announcement would push us out into 2021. So we are continuing to work on basically filling that bucket in that segment that Infrastructure segment that you see in our five-year plan, and I'm very optimistic about it.
Shahriar Pourreza: Got it. That's great. And I'll echo Greg's comments around the draft, but with better New York Team. Thanks guys.
Kevin Fletcher: Thank you, Shahriar.
Operator: Your next question comes from Michael Weinstein with Credit Suisse. Your line is open.
Scott Lauber: Afternoon Michael, how are you doing today?
Michael Weinstein: All right, doing good. Hey, on the wind tax credits, you notice that the operating income from the infrastructure businesses kind of flat for the year-over-year and understood the new projects aren't going to contribute that much that's understood. But with the new projects in service over the next year. How will that affect future quarters net operating income line. And just wanted to confirm that the tax credit line will – the $17 million increase should be persistent throughout the year, right?
Gale Klappa: We will ask Scott to give you more detail. My view would be pretty much got to ignore in this instance you pretty much got to ignore the operating income line and look at where the earnings are flowing from and it's largely the production tax credits.
Scott Lauber: Yes, that's exactly right. So the production tax credits, like I said it added about $0.02 to the wins when he looked at it. Now there's a few other items in net tax line for the settlement of the previous items and just some quarterly spreading that's required by the GAAP accounting that we planned in our forecast, but I think the key here is that $0.02 that we got that relates production to tax rate, that's about will get expect assuming normal wind.
Michael Weinstein: Right. And also I mean we are hearing a lot about how it's been a pretty bad year for wind in general is that affected the projects at all or it affected the output, affected any of this or all just tax credit driven?
Gale Klappa: Well, it would have I mean because these are production tax credits, the level of wind obviously is going to affect your income from the tax credits themselves. I will say though when we looked that – and we looked at pretty great detail, Kevin Scott and Rick Kuester and when we looked at the results of the first quarter and remember the Upstream Wind Farm was not in service during all of the first quarter, I think it came in second week of January, Scott, or third week of January? So we have Bishop Hill in service for the whole quarter and we had upstream in service for a portion of the quarter and we were very pleased. Overall, it was very close to budget.
Michael Weinstein: Okay. And one last question for me is the weather versus normal. Can you provide any kind of impact versus normal instead of just year-over-year?
Gale Klappa: Mike, you probably heard me say this a million times. The weather normalization techniques in our industry are just not very good. I mean, it's the best we've got but they're just not very good and looking at one quarter is really can really be misleading. So I'm not sure frankly as good as work is our folks do. I just don't believe the weather normalization numbers. I don't think our retail was down, but just think about one in fact, Kevin and I were talking about this just a few minutes ago, I think about one side impact of the polar vortex couple of days that we had. Well, most schools, many commercial businesses actually closed. So weather normalization can't possibly factor in that kind of extreme closure and so I'm not overly worried, in fact, I mean, we did see the huge spike in gas, obviously, and I would expect that. We are up in residential usage of electricity weather normal well everybody stayed home. So I wouldn't be overly concerned about one quarter and I still have, I think you have to look at a very long period of time to get any kind of normal results from our weather normalization effort. I don’t know Kevin, if you've got any to add to that.
Kevin Fletcher: I would agree with exactly what you said and not really anything to add so.
Scott Lauber: So I think it's general weather was probably $0.04 to $0.05 just the pure weather effect that helped us in the quarter when you look at it by really Wisconsin has that weather because there's decoupling Illinois – has decoupling but between Wisconsin, Michigan and Minnesota. It's probably about $0.04 to $0.05.
Gale Klappa: The thing I'm most happy about is our system delivered, I mean, when you look at some of the shortages and some of the please for conservation when it was 50 degrees below zero with the Windchill I mean we really held up some other states did not. And I'm very pleased with how our company perform.
Kevin Fletcher: Yes, I was going to say the same thing to if you look at just our neighboring states that was a request for conservation in that standpoint. We did extremely well, not only to our system but our employees as well, weathered through that the polar vortex very effectively. Very proud of that.
Michael Weinstein: Great. Thank you very much.
Gale Klappa: Thanks Mike.
Operator: Your next question comes from Julien Dumoulin with Bank of America Merrill Lynch. Your line is open.
Julien Dumoulin: Hi. Good afternoon, everyone.
Gale Klappa: How are doing, Julien?
Julien Dumoulin: Good, excellent, thank you. So perhaps the pickup on a slightly different thread, little bit tricky, but curious how do you think about settlement prospects here at this point. Clearly your peers in the state, we are pretty proud to getting something together. What are some of the important nuances to consider in a given case you've already kind of talked about the key capital items. What are the other variables when you think about it and obviously given this would be the inaugural effort to use the new legislation and any other considerations that we should just be aware of as we move through this for the first half?
Gale Klappa: Well, good question, Julien. Let me just say this, we are very early in the process right now. I can imagine there would be any meaningful settlement discussions until after the staff completes its normal audit of our data and we're going through the garden variety, normal data responses right now in terms of just verifying their numbers, clarifying their questions on our numbers, etcetera. So when you say others did something in terms of settlements fairly early in the process maybe they were three, four, five months into the process, but it's simply Julien too early to tell. Obviously, we will have, what we hope will be productive discussions with the other parties in the case with the staff itself, but at this stage of the game is just way too early to tell. And again, I just wouldn't imagine any productive or meaningful discussions on settlement until after the normal audit is complete, and we're still going through the data requests as per normal schedule right now.
Julien Dumoulin: Got it. All right, understood. And then moving back to state politics a little bit, can you explain a little bit of the back and forth and sort of your expectations for what is to come around. I would know and sort of intriguing back and forth between the courts and legislature is going on. As best you understand it?
Gale Klappa: Sure. Well, I would just say this, obviously, we all would like the issues surrounding the Governor's appointments to be resolved as soon as possible. I think the encouraging thing here is the Wisconsin Supreme Court has now taken up the case, not just from the standpoint of whether or not a stay is appropriate, but they are taking up the case on its merits and the Wisconsin Supreme Court has already established a briefing and hearing schedule and my best guesstimate is that the Wisconsin Supreme Court will resolve this in the relatively near future. I'm guessing in the second quarter, early third quarter. So I think that's good news. Wisconsin Supreme Court now has this in this jurisdiction and they're taking it seriously and they've set a scheduled to move forward pretty expeditiously, Julien.
Julien Dumoulin: And to be extra clear about this, is that would in theory depending on the outcome there could be an outcome that actually puts your back, back in the rule effective immediately.
Gale Klappa: There are certainly could be up. Yes.
Julien Dumoulin: Okay, excellent. Well, I will leave it there. Thank you all very much.
Gale Klappa: Thank you, Julien. Appreciate your time.
Operator: Your next question comes from Michael Lapides with Goldman Sachs. Your line is open.
Michael Lapides: Hi, Gale. Hi, guys.
Gale Klappa: Hey, Michael.
Michael Lapides: Yes, sir.
Gale Klappa: Michael, for Kevin's benefit, could you explain the difference between Miz and Beat?
Michael Lapides: Miz is for all the Auburn fans on the line. What they're going to do when we think about the SEC title gain, Beat is what all of us, Alabama fans are going to do when we think about what happens in the third or fourth weekend of November every year.
Gale Klappa: I am yours to take time, but I got that analogy. Thanks.
Michael Lapides: I figured you would. I have an easy question for you guys, real quickly. Is there, when you're looking at your coal generation fleet, not only in the power the future units, but the rest of the fleet? Is there a given what's happened in both renewable costs and with natural gas and gas generation? Is there an opportunity in the next three to five years or so for you to retire incremental coal units and potentially save customers money as well as having an environmental impact and if so which potential units would you see as where the biggest opportunity for that could emerge?
Gale Klappa: Even a Georgia Tech grant probably wouldn't answer that entire question, Michael. But certainly, I mean, we review our fleet on an ongoing basis. We look at our costs, we looked at the additional capital that might have to be put into these units to keep them running. Well, I think the short answer, Kevin that is there a potential opportunity over the next five years to retire additional coal units. I think the potential answer is, yes. We've done a lot already, Kevin.
Kevin Fletcher: Well, as Gale is going to stay the same deal, if you look at what we've done since 2017, we retired 840 megawatts and we've done it based on the bay way in the criteria did you just mentioned. And as technology continues to change, we will continue that evaluation and assuming that things work out and the decisions that was made evident by our analysis, we would continue to look at it, but certainly do not have any specific ones that we're looking at right now that I want to talk about.
Gale Klappa: And I will say Michael, to your question, we are already – remember we set a goal of reducing carbon emissions by 40% by the year 2030. We are now thinking based on what we've accomplished and what we're seeing that we may hit that goal by as early as the end of 2023 and seen that progress, we then set a longer-term goal of an 80% reduction by the year 2050. And if you have the time, I think just perusing our climate report that we just published might be helpful to you to kind of show you the various pathways that we think might work to get us to that 80% reduction, Michael.
Scott Lauber: Our report shows different options and technologies that are needed to help us to advance to reach that 80% goal.
Michael Lapides: No, and that was honestly one of the better versions of a report like that I've seen because unlike some of the others, it would be easy to understand and easy to make through. I just taken myself if you keep adding renewables and if the gas output and the state continues to rise, utilization rates or capacity factors. It will weigh on coal capacity factors and at some point you hit a tipping point where because it's a heavy fixed cost business meaning running a coal plant. That's just the economics don't work like they used to. And that's kind of what I was actually thinking about that report and going through it when I asked that question a little bit of, this is still a state that uses a lot of coal generation and just trying to think about how that will significantly change and one of the ways it does is clearly through the retirements and the other way it does is through asset additions of different fuel types, but those tend to be a little bit of a circular reference.
Gale Klappa: Right, and Michael, one of the thought along those lines, that might be useful. You are correct, the economics are very different than they were even five years ago, but you still have to have and what we experienced in late January in the polar vortex is a great example of this. You still have to have a backbone system that you can dispatch to keep the lights on. In one of the things that was amazing to us is on the morning of the coldest day in January, remember I mentioned, wind chills near minus 50. In the Midwest based on MISO data, 6,000 megawatts of wind did not operate. It wasn't because it wasn't wind. It was because in some cases at minus 20, the designs of the steel towers are such that the units have to shut down. The wind turbines have to shut down. So this is a complicated complex subject in the lessons that Kevin and Scott and others, and I have learned from it is the idea of having a balanced portfolio, while continuing to improve your environmental performance is just – Kevin, is just essential.
Kevin Fletcher: But as certainly as Gale and I'd like to correct the number as I spoke to a minute ago, I believe us at 800 megawatts of cold – units have been retired 1,840. So I have little misspoke there, but you're exactly right Gale and your summary that we have to have the balanced approach for the first conditions because we have to have the consistent and reliable energy at all times for our customers.
Michael Lapides: Got it. Thank you, guys. Much appreciated.
Gale Klappa: You're welcome. Thank you, Michael.
Operator: Your next question comes from Praful Mehta with Citigroup. Your line is open.
Gale Klappa: Hi, Praful. How are you?
Praful Mehta: Thank you so much. Good and thank you for all the Q&A. It's really appreciate all the color and input so far.
Gale Klappa: You're welcome.
Praful Mehta: So I wanted to touch on the ripple effects point that you brought up, clearly, you're seeing a lot going on and maybe even more than what you originally kind of thought about. How would that fit in with the growth profile that you've kind of laid out longer-term? You clearly hitting the upper end of this year, but as you think about the five to seven and I guess some of this, you kind of addressed in previous questions as well, but wanted to get at how we should think about that range going forward and what are the pushes and pulls that could help us kind of triangulate what you kind of hit in the out years?
Gale Klappa: Well, good question, and I think Scott and Kevin, please feel free to add your thoughts as well. I think the first two things that come to mind are we have obviously a very modest rate ask in front of the Wisconsin Commission for our two largest companies. So the outcome of that rate case obviously will have an impact going forward. We are very optimistic about it. And then secondly, remember that we have in place and I suspect that will stay in place an earnings sharing mechanism, such that customers get benefit if we earn above or allowed rate of return. So for now, Scott, I think probably our best advice might be think about our continuing a 5% to 7% growth range.
Kevin Fletcher: Yes, absolutely and the other item will be watching closely as where the ROEs end up for our transmission assets – in transmission investment.
Gale Klappa: Very good point. If you remember, Praful, the Regulatory Energy Commission has had a number of cases in front of it and is still deciding the ROE question what the appropriate band of ROE should be for transmission investments, really many of them in the past, these case has been around for almost five years and going forward as well. There I think we have been, I hope conservative in our future projections, but time will tell.
Praful Mehta: Gotcha. That's very helpful. And then just in terms of the ask itself around the higher equity and the ROE, is the base case 5% to 7% based on the ask or is it based on somewhere in between, how should we think about depending on what the outcome is how that kind of fit into the 5% to 7%?
Gale Klappa: Well, I think the honest answer to that is we just have to see the outcome. We have to see what type of additional investments, the commission is comfortable with us making. I think our plan is very solid. But a number of a significant amount of the rate asked is tied to the capital investments that we're planning to make like the solar farms for example. So it's like Ragu it's all in there. And but I continue to believe with any kind of a reasonable outcome of the rate case that we will continue to be able to deliver the kind of returns that you're costumed to us – if your costumed to is delivering and the customers will continue to see the kind of reliability we've been delivering.
Kevin Fletcher: Gale now, just to add for my prepared remarks to the request for both Wisconsin Public Service and we introduced a very straightforward from that perspective, so from that then we should be okay as we move forward.
Gale Klappa: I think so too, Kevin. Thank you. Hope that answers your question, Praful.
Praful Mehta: It does, I appreciate that. And just one final thing, more broadly and this is more industry, just on the M&A side, there has been quite a quietening down at the corporate M&A level or kind of M&A in general around the conversations has that something, is that something that you've seen as well in terms of just more focused on the organic growth, clearly the stories are quite strong for a lot of companies like yourselves. Is there a reduce conversation around the M&A team or do you just think that it's just we don't hear about it?
Gale Klappa: Well, I can only give you my perspective, I would say, to be candid with you. You haven't seen a lot of movement in M&A in the last 12 or 18 months. I think in part because many of the companies had to issue equity and don't have the balance sheets to make significant acquisitions. On the other hand, we have a strong balance sheet, but we would continue to apply the three criteria that you probably are very familiar with that we've applied to any kind of review of any potential acquisition and that's very simply threefold. Number one, we would have to believe after a lot of due diligence that we could make the acquisition accretive to earnings per share in the first full calendar year after closing. Number two, that we would want it to be largely credit neutral, and by that we mean – we're not going to trash our balance sheet, simply to get bigger because acquisitions in our industry in my mind are all about getting better as well as bigger. So we wouldn't rush the balance sheet, would we take a small one notch downgrade for the right deal maybe would we take a full category downgrade, no. And then thirdly, we would want the organic growth rate of anything that we would acquire to be at least as strong as our own organic growth rate. I think if you apply those three criteria, first of all, not much meets those three criteria. But if you do apply those criteria and we will and do rigorously then I think if there was something that met those criteria, you actually be doing something both for your customers and your shareholders.
Praful Mehta: That's very thoughtful and appreciate the diligence and the discipline around the M&A. Thank you for that.
Gale Klappa: You're more than welcome.
Operator: Your next question comes from Paul Patterson with Glenrock Associates. Your line is open.
Gale Klappa: Hi, Paul. How are you today?
Paul Patterson: All right, how you doing?
Gale Klappa: Good and fine.
Paul Patterson: So just a quick follow-up on Julien’s question on the Supreme Court proceeding, when do you guys expect to Supreme Court to act on the PSC issue. And if you are willing to – you guys have any sense as to how they might – have you guys handicapped how they might actually rule?
Gale Klappa: Well, they have, as I said right now the Supreme Court just recently took up the case. They have set a briefing and hearing schedule. They have not set a timeframe for a final decision. But the speed with which they took up the case would indicate to us that and I'm guessing here but then the second quarter, early third quarter is when we might get a decision. My sense is they will act as quickly as a Supreme Court would normally act with a sense of urgency in this particular case. And no, we don't have any particular insight into how they will make a final decision, but again I think it's encouraging that the Supreme Court stepped in without being asked to say this is important enough to make a decision in a timely manner.
Paul Patterson: Okay. And then what happens to know in the meantime, is you still – is you lot again entered the building or what?
Gale Klappa: To my knowledge, she has been asked not to return to our office until all of this is resolved.
Paul Patterson: Okay. And then just with respect to Illinois, I guess this week, I think the Chicago City Council surpassed the resolution, I guess voicing some concern about the infrastructure planned obviously they don't have any direct authority over people's, but just in general I mean, any thoughts about that. I mean clearly there – it's pretty much the service territory of people. How should we think about that or do you – what would you say about that?
Gale Klappa: Sure, couple of things, first of all, the City Council did not pass the resolution. It was a Committee of the City Council. Then it was simply – the hearing, which took place – I think yesterday, we had an opportunity to present the compelling facts behind this program. There were a significant number of labor and other groups they testified during open testimony maybe wrong word, but appeared and talk in the open mic period about the importance of this program. So I mean we are not overly concerned. There have been as you know, a number of articles in cranes and I hate to use the word fake news, but that's about what it is with cranes. But I think we've responded to those very well in the compelling piece here is just how important from a safety and efficiency standpoint this program is. And I think that message is beginning to carry the day. So we are not overly concerned it's business as usual. And we're doing this as quickly and as effectively as we possibly can.
Paul Patterson: Okay, great. I appreciate it. Thanks so much.
Gale Klappa: You're welcome.
Operator: And your last question comes from Vedula Murti with Avon Capital. Your line is open.
Gale Klappa: Greetings, Vedula.
Vedula Murti: Hi Gale, how are you?
Gale Klappa: We are good. How you doing?
Vedula Murti: I'm doing fine. Thank you.
Gale Klappa: Good.
Vedula Murti: A few things, when we are taking the look at the quarter-over-quarter changes and you've mentioned, particularly on the income tax expense line, the wind credits that were favorable by $17.7 million on Page 8 of the earnings packet. I guess I'm wondering if we were to think about this within your annual guidance of $3.48 to $3.52, the $17.7 million variance in 1Q. What would that end up being annualized at the end of the year? I'm just don't know – I doubt you can just take $17.7 times or something like that?
Gale Klappa: If we could, you wouldn't be asking the question, Vedula.
Vedula Murti: Yes, exactly.
Kevin Fletcher: The tax line, it's pretty unique this quarter and a lot of it, we had factored already into our guidance all of it had basically factored into our guidance. The true wind piece as it relates to actual production was that $0.02, a little over $6.5 million. There's other items that relate to some accounting rules for some verification of miscellaneous various other items that pull through that line which I call a little unique in this first quarter. So you can take that and multiply by that. The true production tax credit that we anticipate is about $6 to $7 million a quarter going forward.
Vedula Murti: I missed the very last part, $6 million to $7 million a quarter as opposed…
Gale Klappa: All the production tax credits for our infrastructure wins.
Kevin Fletcher: Yes.
Vedula Murti: I want to make sure, thinking about this properly such that if I look at the same table and the same line item in 2Q, 3Q and 4Q in terms of the benefits. What is the run rate that under the purchases, the $3.48 to $3.52 if generally speaking with some type of range for that line item?
Scott Lauber: And we are still comfortable. I guess the way to look at is, we're still comfortable with our overall effective tax rate is that 10.5% to 11.5%. I think that would be the best, you to put in your models, if you exclude the tax repairs in my prepared remarks, it’s 20% to 21%. I think that's probably the best way to look at it, because those are still good as our forecast.
Gale Klappa: There's a lot of ins and outs to Scott's point in that line. So I think Scott is right. If I were in your shoes, I would model the – what we say, we expect our effective tax rate to be for the year.
Vedula Murti: But is it fair to say that this quarter in particular was somewhat elevated and concentrated as opposed to normal?
Scott Lauber: Yes, I think it was somewhat elevated. I don't have the tax rate straight in front of me, I think it’s in there. So our tax rate came in about 20.1%. So again, it’s factored all and it is going to be a little higher, but it's particularly little higher than this quarter. So this is unique accounting and I think, the key is we look at the overall tax rate.
Vedula Murti: Okay. In terms of the five-year capital plan, the energy infrastructure pile that’s always been like maybe 9% or as I recall, or something like that.
Gale Klappa: I think it’s 11% in our five-year plan.
Vedula Murti: Okay. Clearly you're running way ahead on a pro rata run rate and you alluded to the menu of prospects that you're looking at. Why is it not reasonable for us to expect that number that's currently within the five-year plan will end up having to be elevated at some point in time, either next year when you update CapEx or some other time in between now and then?
Gale Klappa: Well, couple of things, first of all we have – as I mentioned a pretty robust pipeline of opportunity, but we also need to look at a number of other factors including our tax appetite. So we're being very particular and cherry picking only the very best projects that we think have really solid business cases behind them, really solid off-takers for all the win. So there are a number of factors here that we take a look at. The best projects, the tax appetite, essentially what other investment opportunities we might have. So I wouldn't, yes we're way ahead of schedule. We're pleased about that the projects, I think our first rate, but I wouldn't necessarily assume that we're going to blow the doors off just because we've had some early success here. At same time, I'm optimistic that we can fill up that portion of our capital plan with very high quality projects.
Vedula Murti: Okay. And I guess maybe one last thing regarding Peoples Gas obviously Paul asked about some of the current – press and activity? Can you update us on the audit that is going on with regards to I think the period where I think it was partially pre your ownership and partially your ownership for the first year and where the status is of that. And then, when that's concluded then remind me how the next audit gets initiated in terms of review?
Gale Klappa: Sure. But what you're referring to in terms of the current audit in the year end which we were partial owner for the second half of the year, that's the 2015 reconciliation audit that and I would just point out that under the way this program works. There is basically a reconciliation and audit review after the fact every year. So we can expect every year that the commission will exercise its proper oversight over how the program was managed in the prior year. It just so happens that 2015 is still outstanding there is now a proposed from the administrative law judge proposed resolution very modest amount of change that the administrative law recommending and again we weren't in that company for the first half of the year. So we didn't have an opportunity when we didn't own the company to make some of the improvements we've already made. But you can expect an annual audit as normal, that's just how the program works. And I think it's certainly appropriate for there to be an annual audit.
Vedula Murti: So the 16 audit for full-year where – first full-year where you owned it, that will commence upon the completion of the current audit. Correct?
Gale Klappa: I suspect that right, schedule as yet been set, but I suspect. That's right.
Vedula Murti: Okay, thank you very much. And hey good luck for the bucks, okay.
Gale Klappa: Go bucks, thank you Vedula.
Vedula Murti: All right, thank you.
Gale Klappa: All right, folks, that concludes our conference call for today. Thank you so much for participating. It's always a blast. If you have any more information or questions free to contact Beth Straka, our direct line 414-221-4639. Thanks everybody. Good bye.
Operator: This concludes today's conference call. You may now disconnect.